Operator: Good day, ladies and gentlemen, and welcome to the Q1 2008 Dynamic Materials earnings conference call. My name is Rob and I'll be your coordinator for today. At this time, all participants are in listen-only mode. We'll be facilitating a question and answer session toward the end of this conference. (Operator instructions) At this time, I'd now like to turn the presentation over to your host for today's call, Mr. Geoff High of Pfeiffer High Investor Relations.
Geoff High: Thank you, Rob. Good afternoon and welcome to Dynamic Materials’ First Quarter Conference Call. Presenting on behalf of the company will be President and CEO, Yvon Cariou; and Vice President and Chief Financial Officer, Rick Santa. I'd like to remind everyone that the matters discussed during this call may include forward looking statements that are based on management's estimates, projections, and assumptions as of today's date and are subjects to risks and uncertainties that are disclosed in Dynamic Materials filings with the Securities and Exchange Commission. The company's business is subject to certain risks that could cause actual results to differ materially from those anticipated in its forward looking statements. Dynamic Materials assumes no obligation to update forward looking statements that become untrue because of subsequent events. A webcast replay of today's call will be available at dynamicmaterials.com after the call. In addition, a telephone replay will be made available for 48 hours beginning approximately two hours after the conclusion of this call. Details for listening to today's call and webcast are available in today's news release. With that, I'll now turn the call over to Yvon Cariou. Yvon, please go ahead.
Yvon Cariou: Thank you, Geoff. The results of our fiscal quarter reflect an encouraging start to 2008. All segments of our business were very active during the quarter and made significant progress towards the full year operational objectives. Although bookings at our flagship exclusive welding segment remain strong, and this allowed us to raise the high water mark on our order backlog to $102 million. We told you during our last conference call that we're seeing considerable demand within all of our primary end markets and this situation has not changed. Not surprisingly, both refining and upstream oil and gas have been especially active sectors. Global investment activity in large capital equipment projects remain very active and this is evident in the broad range of orders we're booking into backlog, as well as by the new prospect that are regularly appearing on our hotlist. As we noted today’s press release, higher energy and inputs costs have fueled significant price increases for high quality carbon steel. In addition, strong end market demand is putting added tension on the carbon steel supply chain. We have been working in recent years to strengthen our relationship with existing suppliers and broaden our sourcing network. We believe therefore to have enhanced our ability to procure metals in the most timely fashion possible. While pricing and supply issues are presenting our industry and our end markets with some renewed challenges, the underlying fundamentals for sector remain very positive. Demand for our product is strong, diverse, and global in nature. As the worldwide leader in the explosion welding industry, we remain very optimistic about our long term prospects. I'll now turn the call over to Rick Santa who will discuss the highlights of our first quarter financial performance. Rick?
Rick Santa: Thank you, Yvon. Good afternoon everyone. First quarter sales were $58.4 million. This represents an increase of $25.3 million or 76% versus the first quarter last year. $15.2 million of this increase was attributable to our November 2007 acquisition of DYNAenergetics. Gross margin was 30.3% versus 32.8% in the same quarter a year ago. The decline is partially attributable to a higher proportion of our explosive welding sales coming out of Europe, where margins have historically been lower than those of our U.S. operations. Gross margin was also impacted by lower margin sales, contributions from our new oil field product segment. Once again, the most notable quarter-over-quarter changes in our expense items were related to our DYNAenergetics acquisition. While we reported no amortization or interest expense in the first quarter last year, this year's Q1 included amortization expense related to acquired intangible assets of $2.4 million or 4% of revenue. Net interest expense in this year's first quarter was $1 million. To give you a better sense of our performance without the impact of interest, depreciation, and amortization, we announced first quarter adjusted EBITDA of $13.5 million, which was a 66% increase from the $8.2 million of adjusted EBITDA in the first quarter last year. As you know, adjusted EBITDA is a non-GAAP disclosure and we encourage you to read the section in our news release regarding our use of such measures. We reported net income of $5.2 million or $0.42 per diluted share versus $4.9 million, or $0.40 per diluted share in the first quarter last year. Turning to guidance, we expect our second quarter sales and earnings results will be comparable to those of the first quarter. We also expect that We'll meet the original full year guidance we provided at the end of last quarter, assuming we receive expected customer orders under anticipated time frames and our metal supplies are adequate to meet our 2008 production goals. We obviously believe that our results during the second half of fiscal 2008 will be significantly stronger than those of the first half. We're now ready to take your questions. Rob?
Operator: Certainly, sir. (Operator instructions) The first question comes from the line of James Bank of Sidoti & Co.
James Bank – Sidoti & Co.: Hi, good evening. In regard to the supply issues, is this something that's going to be similar to what we saw in the first half of '07, a little bit better or maybe a little bit worse?
Yvon Cariou: This is, I think, a renewed and increased tension in the supply chain. We have been seeing a significant price increase and we're expecting quite a bit more, and traditionally a price increase of metal has not necessarily been negative for us. To the contrary, but the magnitude of what is coming, it's a little bit unchartered territory and we are not today in a position to have a definite view on that. So that's on the price side of it and on the capacity side it looks like the suppliers have a strong demand in their end markets, their natural end markets I'd say, and again Department of Defense at least in the USA, and maybe again for the U.S. suppliers with the dollar situation, more opportunity to export. So all of that combined, we can sense some added tension on the supply. That is why we are a little cautious here. It's still the early stage of this new phase of carbon, steel supply chain.
James Bank – Sidoti & Co.: Okay, and from your customer's perspective, when they procure for whichever project they might be working on and let's say month's prior, before raw materials or a particular has really reared its ugly head, and they delay these orders. Is this something that they then might be able to go out and do a roll bond or a weld overlay? Or is this something that will delay indefinitely? Or is this going to be something –?
Yvon Cariou: I'm not implying that anything is being delayed. We're not seeing that in our calling activity. It could happen but we don't know and as far as the switching over, those three technologies are not interchangeable. They each have their domain, their sweet spot, their domain of preference, and when we compete against each other it's under boundary of those domains. And so most of the time when it's explosion welding it's going to stay that way.
James Bank – Sidoti & Co.: Okay, that's very helpful. Thank you, and the two large orders you even mentioned on the last conference call. So we should assume that we'll see these in the back half of '08 here and that's why you're maintaining the 32% gross margin guidance.
Yvon Cariou: I am not sure which two large orders you're referring to, sir. The concept of large order is a little fuzzy.
Rick Santa: It was a comment made on the year end conference call.
Yvon Cariou: Those were shipped orders, maybe.
Rick Santa: Right. We talked about some larger orders out on the horizon because we were looking at–
Yvon Cariou: You mean coming?
James Bank – Sidoti & Co.: Well, I guess a better question as opposed to just those two orders is what's giving us I guess sort of the optimism here to shoot for that 32% gross margin, where clearly the first half of '08 is going to be down?
Yvon Cariou: Well, okay, first in terms of the prospects for bookings, any orders, the prospects remain the same that they have been. They are strong and good across our markets. That's number one. Number two, Rick, you want to address the specific on the margin?
Rick Santa: Yes, I think the margin, we had lower sales in the first quarter and we expect comparable sales in the second quarter before a bigger second half of the year. And when we have more sales, we had a more efficient absorption of manufacturing overhead. So that has a tendency to improve margins. We're also working on the pricing side of the equation and we would expect as the inherited backlog, the acquired backlog for the Dynaclad businesses worked off, that we'd see an improvement in gross margins from the DYNAplat division of DYNAenergetics.
James Bank – Sidoti & Co.: Okay, that's very helpful. Last question and then I'll jump back in queue. In regard to the amortization, the backlog from DYNA is done, correct, the $2.3 million?
Rick Santa: No, that will continue through the second quarter. So you should see, except for an adjustment related to a higher average foreign exchange rate in Q2. If rates stay where they are today, we should see roughly the same amortization expense in Q2 as we saw in Q1. Then we'll see the fall off in the second quarter or second half of the year after that backlog amortization.
James Bank – Sidoti & Co.: Okay, so roughly $2.3 million in the second quarter and then we'll figure out a run rate to hit that $7.7–
Rick Santa: $2.3 adjusted upward for exchange rate.
James Bank – Sidoti & Co.: Okay, terrific. That's very helpful. Thank you so much.
Operator: And your next question comes from the line of Avinash Kant. You may proceed.
Avinash Kant – Broadpoint Capital: Good afternoon, Yvon and Rick. Questions regarding the availability of the high carbon steel that you're talking about. Does it mean that you have scheduled orders for shipment in June and you're not able to do it because of issues there in the supply chain?
Yvon Cariou: No, it doesn't mean anything like that at this stage. This may be more down the road, and I'm not sure that we will stop shipping anything. All we are indicating is we can sense renewed tension in the capacity of the steel suppliers and we're extremely active on diversifying our sources we have been for some time. Trying to play on the whole mix of sources from distributors to mills and our teams have been very creative in that arena. So we may be able to swallow this like we've done in the past. Just I think it's fair to present this added stress on our situation. That's all.
Avinash Kant – Broadpoint Capital: And given your second quarter guidance, if you maintain the full year guidance clearly it looks like you'll have to ramp significantly in the second half. What gives you the confidence that you'll be able to ramp that? Is it showing up in bookings in the second quarter?
Yvon Cariou: We would expect to see bookings coming through. We have been, as I said before, quoting actively across all our market segments. This is still going on. There's absolutely no slow down in the number of quotes, the level of quotes. It remains very healthy and so we're remaining optimistic. We have been saying all along we are not a quarter company, and okay, so now we have proved that we are not, and all of that level of quoting will at some point transform in bookings. And I hope it happens in Q2. It maybe will be in Q3. I cannot predict totally how it's going to happen but the feel of the kind of quotation we make is extremely good.
Avinash Kant – Broadpoint Capital: So far in the second quarter have you seen this bank in bookings in the quarter, in the June quarter that gives you confidence that you'll be able to meet the numbers for calendar year '08?
Yvon Cariou: The near term project is of very good quality.
Rick Santa: So just to add, Avinash, at the end of the year we had a $100 million backlog. We're now at $102 million, so we expect the flow out of that backlog to be comparable to what we experienced in the first quarter. We expect that flow out to be about the same in the second quarter. I think to address your question we would need to see the backlog start to step up by the end of Q2 in order to deliver the second half that we expect to deliver because at some point if you don't book on a timely enough basis it's hard to get the materials in and to get the product delivered in 2008.
Avinash Kant – Broadpoint Capital: That's exactly what I'm asking about, that you need to see a pickup in backlog in order to meet the second half numbers. Have you started to see it?
Rick Santa: It's too early in the quarter to make a comment. Between the bookings activity in April and the quoting activity that is ongoing, we were comfortable with the guidance that we provided in the press release.
Avinash Kant – Broadpoint Capital: Perfect. That's good enough. Thanks so much.
Operator: And your next question comes from the line of Mark Parr of KeyBanc Capital Markets.
Mark Parr – KeyBanc Capital Markets: Hi, good afternoon. Good quarter. I appreciate you giving the magnitude of color as far as your outlook and we certainly continue to look at Dynamic Materials as not a quarter company. And there seems to be a tremendous amount of momentum and hopefully you'll be able to continue to take advantage of that. I had a couple of questions, one about your recent acquisition. Yvon, I was wondering, as you've broadened the assets kind of over the transom and you've done more due diligence, could you talk a little bit about what has surprised you the most both on the positive side and the negative side?
Yvon Cariou: Not a lot of surprises.
Mark Parr – KeyBanc Capital Markets: Well, that's not a bad thing.
Yvon Cariou: We're very comfortable that the clad team of DYNAenergetics is quickly embracing some of the DMC way of life in terms of pricing that we treat as a religion, in terms of quoting faster, servicing the customer in terms of how we analyze the markets. They are bringing new things on a couple of market applications which we didn't know about. They have a couple of very interesting aspect in their operations related to their explosives that we like very much. Remember that those guys were born in an explosive specialty company and so we really plan to totally extract that synergy. The teams, the management team, as we have indicated in the press release, things could go faster or bigger in terms of numbers. But the commitment is great. The opportunities that we can sense in their marketplace are good. On the oilfield sector, which is new for us, that team is a professional team. Again, they were born in that business. They understand their marketplace. We have a couple of interesting JVs that we are not in a position to talk to much about yet, but just to indicate Canada and Russia are the locations for those things. We are learning the ropes and trying to see how our general growth strategy for DMC can be filled for that division. So we definitely would like to see more dramatic financial impact immediately, but the fundamentals, the team, the operation, their potential in their markets, we feel rather encouraged by all that.
Mark Parr – KeyBanc Capital Markets: Yvon, I don't want to ask you too much detail on this, but if you could give us some general color on how soon we should begin to see the impacts of more disciplined pricing in the European market?
Yvon Cariou: I don't want to commit to too short of a timetable on that. You have clients, accounts with a history. You don't want to go in there to brutal fashion, do the wrong things, but I certainly would hope that by '09 and '10 we'll see some movement there. All I can say is that we are very active on putting all the potential and opportunities.
Mark Parr – KeyBanc Capital Markets: You could have a worse year to begin moving pricing higher with all the increases in the base metals that have been showing up in the marketplace.
Yvon Cariou: Yes, pricing fees of metal has been for us traditionally an opportunity more than a problem. I'm just a little taken aback by the magnitude of what's coming and we knew it was coming because everybody has read about the iron ore, hyper inflation and energy costs last year. So it should translate at some point in the metal, but what we're seeing is really steep.
Mark Parr – KeyBanc Capital Markets: Yes, it's somewhat unprecedented and in some respects because of the shortages of raw materials, it may even be much more sustained than what we saw back in the '04, '05 timeframe.
Yvon Cariou: It's structural it seems. It's beyond supply and demand. It's really a structural shift here.
Mark Parr – KeyBanc Capital Markets: What is your capacity situation looking like in Europe? Do you have any plans to do capacity upgrades in Europe similar to what you did in Pennsylvania?
Yvon Cariou: Maybe not similar because the magnitude of it was very significant, but we've been working already for a couple of years and our $10 million CapEx for '08 includes a lot of the European divisions. So we're working on it. It's some building expansion and more modern equipment. We're replacing older generation large pieces of equipment with new generation. So that will translate in capacity and also productivity. Well, terrific. I appreciate all the color. Congratulations on the good first quarter and we'll look forward to the second half of the year.
Yvon Cariou: Okay, Mark. Thank you.
Operator: Thank you, sir, and your next question comes from the line of Yvonne Varano of Jefferies & Co.
Yvonne Varano – Jefferies & Co.: Thanks. Rick, I was wondering if you would be willing to share the contribution to the backlog from DYNAenergetics in the quarter.
Rick Santa: We did disclose the sales of both DYNAenergetics in total and of the oilfield products segment. Going forward, we're already in the process of integrating our European operations and booking the orders to the plant that can produce that order most optimally. So I don't think we do ourselves any favor by trying to isolate the backlog of one of three European divisions.
Yvonne Varano – Jefferies & Co.: Can you give us any general comments on where you're running at Mount Braddock on a capacity utilization rate? I know an exact number is sort of not possible, but high levels, mid, a lot more to go, some sort of general comments.
Yvon Cariou: We have a very generous capacity reserve after having done the expansion we've done. If I have to pick a number today, I'd say mid-70% with utilization.
Yvonne Varano – Jefferies & Co.: And then on the oilfield products, is there any color you can give us on where that should run on a revenue basis and is 1Q sort of a normalized rate? Is that something that we should look to grow throughout the year?
Rick Santa: We would expect to see some improvement there, Yvonne. If you look at the press release, we indicated that the sales in the first quarter of the oilfield products were slower than expected. And we're learning more about that business, and interestingly that business is impacted by the general flow of orders and the timing of larger orders, as is the case with our cladding business. And their management is optimistic that they can deliver against the full year internal expectations for the business, even though they're behind in the first quarter. So we would expect to see modest improvement in the second quarter and more increases in the second half of the year from what you see in the first quarter.
Yvonne Varano – Jefferies & Co.: Okay, great, thanks very much.
Operator: Thank you and your next question comes from the line of Alan Rosenfield of Harmony Asset Management.
Alan Rosenfield – Harmony Asset Management: Good afternoon, guys. Could you guys just discuss a little about your operating margins, anything that's going on there?
Rick Santa: Well, I think a couple of things that are going on relate to the new adjusted EBITDA disclosure that we made for the first time this quarter. And if you look at that we had amortization of intangible assets of $2,361,000 and $664,000 of stock based compensation expense, as well as a significant increase in our depreciation expense that relates both to the acquisition of DYNAenergetics, as well as to the significant capital expansion in Mount Braddock that was completed last year. So if you look at the growth in our operating income, that percentage increase from last year to this year was 25%. So you've seen lower operating margins, but if you look at the EBITDA margin or the adjusted EBITDA growth, that grew 66% from the first quarter of last year. So to answer your question, we're seeing lower operating margins because of the impact of non-cash expenses, but we're seeing a very good adjusted EBITDA result and we'll continue to report against this measure going forward.
Alan Rosenfield – Harmony Asset Management: All right, thank you guys.
Operator: Thank you, and your next question comes from the line of Vincent Damasco of the Colony Group. You may proceed.
Vincent Damasco – Colony Group: Thanks gentlemen. I guess two questions. One on the steel price inflation that everyone's seeing and talking about increasing their product prices midyear, what have you. Are you guys protected in any way from surcharges or from looking back at prior bookings and maybe adjust those higher?
Yvon Cariou: No, we are not protected against surcharges. There are some cases where even previously committed fixed price are being revised unilaterally. So we're dealing with that. As far as going forward, there will be surcharges and we're in the process of establishing our protocol there. As you know, in our business model we're blessed in the way that we pass on all metal increases, and obviously we're going to try hard to continue that.
Vincent Damasco – Colony Group: Then my second question on AMK, are we looking at Q1 as being kind of a low pint in sales volume for the year, building from $2.3 million as reported?
Yvon Cariou: Q1 is significantly higher than what we have seen last year. I'd see a moderate regular increase over that throughout the year. The condition seems to be in place for us to have a significant up tick there. We'll see. We have been burned in the past. Certainly this level I think is going to stay or go up. Don't anticipate it to slow down. Can it go up much faster or much higher? It's a little too early to say, to talk about that.
Rick Santa: Just to add, if we had have four quarters like the first, that would be a very good result relative to what we achieved at AMK in 2007. But as Yvon indicated, there certainly is some up side.
Operator: Yes, thank you, and your next question comes from the line of James Bank. (Operator instructions) James, you may proceed.
James Bank – Sidoti & Co.: Thank you. I'm sorry, just a quick clarification. The top line of margin guidance you gave was consolidated basis, right? That just wasn't for explicit no working group?
Rick Santa: That was consolidated, yes.
James Bank – Sidoti & Co.: Okay, great. That's the only question I have. Thank you.
Operator: Thank you, and your next question comes from the line of Matt McGeary of Sentinel Asset Management.
Matt McGeary – Sentinel Asset Management: Good afternoon, guys. If I'm looking at the run rate of G&A and selling expense for the first quarter, is that a reasonable to think about for the full year, roughly 10% combined?
Rick Santa: It's reasonable but hopefully you see that percent come down some in the second half if we see the sales improvement that we expect.
Matt McGeary – Sentinel Asset Management: Right, okay, and Rick, when you talk about the $5 million of interest expense, is that net of interest income or is that just the interest expense line?
Rick Santa: That was just the interest expense line.
Matt McGeary – Sentinel Asset Management: Okay, is there any reason to think that the interest income run rate would be a reasonable run rate for the full year?
Rick Santa: That may be a little bit high because we had a recovery against a customer account. Most of the interest income is from investments of excess cash, but in the first quarter we had a significant amount that related to interest charged to a customer on past due amounts. Usually you don't collect those but we had a significant collection in the first quarter.
Matt McGeary – Sentinel Asset Management: What's the other expense on the income statement and is that going to persist?
Rick Santa: The majority of it relates to foreign exchange losses in our European operations.
Matt McGeary – Sentinel Asset Management: Tax rate about reasonable, 36ish for the year, you think?
Rick Santa: Yes, we say 36% to 37% because the proportion of European versus U.S. sales as well as German versus France and Sweden can change a little bit, but 36% to 37%. We don' expect it to fall below the 36%.
Matt McGeary – Sentinel Asset Management: Thanks, guys.
Operator: Thank you, and your next question comes from the line of Avinash Kant of Broadpoint Capital.
Avinash Kant – Broadpoint Capital: Good afternoon, once again. Quick question, could you please break up your revenue or bookings in the quarter compared to upstream oil and oil refining?
Rick Santa: I don't think we've ever disclosed the segment end user market breakdown of our bookings, if that's the question you're asking.
Avinash Kant – Broadpoint Capital: Right, give us some idea of where it was. You talk about at least four of the segments constituting roughly 70% of your end market. Has that mix changed much, or was it very similar in the current quarter also?
Rick Santa: I'd say it's very similar and oil and gas remains a strong sector as Yvon indicated in his comments at the beginning of the conference call.
Avinash Kant – Broadpoint Capital: And some of the refiners have been talking about increasing margin per share given the increasing price of crude. Have you seen that in the activity related to your materials?
Yvon Cariou: I'm not sure I follow your question, Avinash.
Avinash Kant – Broadpoint Capital: Do you see some of the refining projects or some of the capacity expansions being kind of pushed out at this point?
Yvon Cariou: No, based on the level of the type of activity, quoting activity we do, no I cannot say that. To the contrary, I think there's more coming through. There's a lot of front end engineering design indicating new projects advancing.
Avinash Kant – Broadpoint Capital: And one qualitative question too, when you talk about the pricing increase in the steel, do you think people have the flexibility to be able to push these projects out because the price is going up? How much flexibility is there? I thought if they were committed to a project they have to follow through?
Yvon Cariou: At the end of the day, Avinash, the total cost of steel in a large project is significant but it's not the major factor. So even if price of steel was to double, I am not sure that it would alter in a huge, significant way how this project would be executed.
Avinash Kant – Broadpoint Capital: Right, that's what I'd think too.
Yvon Cariou: But the steel, you have some inflation there to go and maybe some management team sitting back and having to go to the board to get another slice of budget. It's hard to predict how it's going to play but in a total project, again, the best material, I don't want to generalize, but it's a relatively minor part of the total.
Avinash Kant – Broadpoint Capital: Right, and if I understood it right that's what I'd think, that the worst case scenario that the high prices of steel could present is that maybe it can push some of the delivery out given just availability of the material itself. But that cannot kind of take the project away from you.
Yvon Cariou: I don't think so.
Avinash Kant – Broadpoint Capital: Good, thank you.
Operator: Okay, thank you very much, and as that was our final question, I'll turn it back over to Yvon Cariou for closing remarks.
Yvon Cariou: Thanks for joining us for today's call. As I mentioned, our business and our end markets appear very strong, and we're therefore encouraged by our prospects for continued success. We look forward to keeping you apprised of our progress going forward. Thank you. Take care.
Operator: Ladies and gentlemen, thank you very much for your participation in today's conference. This concludes the presentation and you may now disconnect. Have a good day.